Operator: Good afternoon, and welcome to Getty Images Second Quarter 2023 Earnings Conference Call. Today’s call is being recorded. . We have allocated one hour for prepared remarks and Q&A. At this time, I would like to turn the conference over to Steven Kanner, Vice President of Investor Relations and Treasury at Getty Images. Thank you. You may begin.
Steven Kanner: Good afternoon, and welcome to Getty Images Second Quarter 2023 Earnings Call. Joining me on today’s call are Craig Peters, Chief Executive Officer; and Jen Leyden, Chief Financial Officer. As noted in today’s press release, the financial results for the second quarter ended June 30, 2023, and related comparisons to prior periods included in this release are preliminary. The Company expects to file a Form 12b-25 with the Securities and Exchange Commission to disclose that it will not be able to file its Form 10-Q by its due date of August 14, 2023, and may not file within the five-day extension period allowed by the form. The delay in filing 10-Q is due to the Company’s independent auditors requiring additional time for additional audit processes in response to a comment arising from an inspection of the audit work papers of the Company’s 2022 financial statements. As of this date, we are not aware of, nor has our independent auditor advised us of any material misstatement to the 2022 financial statements. We would like to remind you that this call will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to various risks uncertainties and assumptions which could cause our actual results to differ materially from these statements. These risks, uncertainties and assumptions are highlighted in the forward-looking statements section of today’s press release and in our filings with the SEC. Links to these filings and today’s press release can be found on our Investor Relations website at investors.gettyimages.com. During our call today, we will also reference certain non-GAAP financial information, including adjusted EBITDA, adjusted EBITDA margin, adjusted EBITDA less CapEx, free cash flow and currency-neutral growth rates. We use non-GAAP measures in some of our financial discussions as we believe they assist investors in understanding the core operating results that management uses to evaluate the business. Reconciliations of GAAP to non-GAAP measures as well as the description, limitations and rationale for using each measure can be found in our filings with the SEC. After our prepared remarks, we will open the call for your questions. With that, I will hand the call over to our Chief Executive Officer, Craig Peters.
Craig Peters: Thanks, Steven, and thanks to everyone for joining our Getty Images second quarter 2023 earnings call. I will start by addressing the quarter’s business performance and progress, the high level before Jen takes you through the full second quarter financial results. Second quarter of 2023 reported revenue was $225.7 million, representing a year-on-year decline of 3.3% on a reported basis and a currency-neutral decline of 2%. Our adjusted EBITDA finished at $66.5 million for the quarter. This reflects a reported year-on-year decline of 10.3% and a currency-neutral decline of 8.9% with EBITDA more heavily impacted by legal costs associated with previously disclosed litigation. While we continue to see increased utilization of our content and increased customer commitment overall, these numbers are not what we wanted to finish the quarter. Macroeconomic conditions are pressuring our agency business. The writer and actor strikes have also impacted our entertainment business and our media and production customers. While these factors are largely outside of our control, we are not happy with our performance and are committed to elevating our sales execution in the face of challenging market conditions. We were pleased to add US Soccer as a new partner in a multiyear agreement and renew our agreements with Major League Baseball and the Tribeca Film Festival. It has also been great to see the stellar execution of our world-class editorial team on the ground in Australia and New Zealand, covering the FIFA Women’s World Cup as the competition’s authorized photographic agency. It’s a designation Getty Images has held since 2009. On the AI front, we continue to play to the long term, and I’m pleased with the progress we are making in partnership with NVIDIA to build and launch a high-quality, commercially viable, fully indemnified, creator-responsible generative AI service that gets set alongside our other highly differentiated industry-leading services. We are now in limited alpha and expect to launch later this quarter. We’re also excited to expand the deployment of our Natural Language search to better surface our pre-shot content in response to customer needs. Our pre-shot content continues to offer a compelling customer value as it’s free to search, substantially more time efficient, and provides for a unique level of creativity, authenticity and quality. Using Natural Language processing, we now return a much broader set of high-quality results even against the most complex search terms. For those at a browser, to see this in action, I would encourage you to go to istock.com and search “Colorful umbrellas seen from below hanging over a street” and wait to see the results. Then try the same at other content providers. When asked about what keeps me up at night, my answer is always the same, execution. It is entirely within our control. It is a more difficult environment and our execution needs to match it head on. My colleagues and I are committed to elevating our performance throughout the second half, and we remain focused on building for the long term through differentiated and high-quality offerings required by our customers and through the preservation of our extremely unique assets. With that, I’ll hand the call over to Jen, who will take you through the more detailed financials.
Jen Leyden: As Craig mentioned, our second quarter results were disappointing, with revenue impacted by ongoing macroeconomic pressures, challenges in our agency business and adverse impact from the actors and writers strike and with adjusted EBITDA also impacted by ongoing litigation costs. I’ll begin by reviewing some of the key operating metrics or KPIs. Note, today’s press release contains information on all 7 of our KPIs. All KPI metrics are as of the trailing 12 months or LTM period ended June 30, 2023, with comparison to the LTM period ended June 30, 2022. As a reminder, beginning with our Q3 2022 results, we made two go-forward changes to our customer data reporting. I’ll highlight the impact of these changes on total active annual subscribers and on total purchasing customers, which are the KPIs more meaningfully impacted by those changes. We will anniversary these changes in the third quarter and will have like-for-like comparisons thereafter. Total purchasing customers were 830,000 compared to 843,000 in the comparable 12-month period due in large part to the changes to previously discussed customer data reporting. Absent the reporting changes, total purchasing customers would have been 839,000. On a sequential basis, total purchasing customers remained steady from Q1 levels. We delivered another quarter of significant growth in active annual subscribers, adding 93,000 to reach 182,000 or growth of approximately 104% over the corresponding period in 2022. Absent the customer data reporting changes noted a moment ago, the increase would have still been strong at 82% or 73,000 subscribers added. The strength in annual subscribers was driven by e-commerce offerings, including growth of our smaller iStock annual sub and the newer Unsplash+ subscription as well as steady growth in our premium access subscriptions. Notably, we are pleased to see substantial progress in our efforts to expand our geographic footprint in various markets leveraging our e-commerce subscription offering to attract over 23,000 new annual subscribers across our growth markets in LATAM, APAC and EMEA, and over 40,000 new annual subscribers in our core markets, which include the U.S., Canada, France, Germany, the UK, Japan and Australia. Our growing mix of revenue from subscription products exceeded 50% for the third straight quarter and grew to 51.8%, up from 50.7% in Q1 and from 48.2% as of Q2 2022. Our revenue retention rate for our annual subscriber customers was a healthy 98.5% compared to 101.9% in the LTM period ended June 30, 2022. The slight decline in our revenue retention rate was primarily driven by lower revenue retention rates on some of our smaller e-commerce subscription customers. Paid download volume rose by 1.1% to 94 million year-over-year, speaking to the continued customer value being delivered through our offerings. And last, our video attachment rate rose to 13.5% from 12.2% in Q2 2022. While we continue to see steady growth in this metric, it remains a key growth opportunity for us as we continue to focus on executing across increased customer awareness of our video offering, improved search and site prominence for our video content and upselling a video into subscription. Turning to our financial performance. In addition to some of the adverse revenue impact from macro, agency and the U.S. Hollywood strikes previously mentioned, our Q2 results were also impacted by foreign currency headwinds from a stronger U.S. dollar, primarily with respect to the euro and the pound. These headwinds drove differences between reported and currency-neutral performance, although more moderate than the prior few quarters. Assuming rates hold relatively steady to where we see them today, we expect foreign currency to turn to a slight tailwind in the back half of 2023. Total revenue was down 3.3% year-on-year on a reported basis and 2% on a currency-neutral basis. While we have commented on some of our revenue headwinds this quarter, I’d be remiss to not also highlight continued positive momentum across our subscription business, our new customer acquisition growth, the tenth consecutive quarter of growth in our corporate sector and healthy performance across our KPIs. Our annual subscription revenue as a percentage of total revenue rose to 51.8% in Q2, up from 48.2% in Q2 of 2022. This equates to year-on-year growth of 4% on a reported basis and 5.5% on a currency-neutral basis, driven by further gains across our premium access and e-commerce offering. Creative revenue was $141.3 million, down 3.7% year-on-year and 2.3% on a currency-neutral basis. Our agency business, which sits entirely within creative, was down double digits this quarter due to macro conditions and a softer ad market, and is the primary driver of the declines in creative. Annual subscription products within creative grew 6.5% year-on-year and 8% on a currency-neutral basis. Within our e-commerce business, we had strong gains in our annual iStock subscription offerings, which grew by 16.9% on a reported basis and 15.7% currency-neutral. The gains were driven by the success of our customer acquisition efforts across core and growth markets, coupled with some contributions from upsizing our existing monthly or à la carte customers into annual offerings. Custom content, which leverages Getty Images’ global network of contributors to create cost-effective, customized and exclusive content to meet specific customer needs, grew 8.4% year-on-year, or 10.8% currency-neutral. Q2 editorial revenue was $80.3 million, down 3.2% year-on-year and 2% on a currency-neutral basis, driven by results across our sports, news and archive verticals. The largest decline was in sports, where we have seen reduced activity in the crypto and NFT space as well as challenging year-on-year compares due to one-off events in 2022. Breaking down our performance across our major geographies, we posted year-on-year currency-neutral growth of 4.5% in APAC and 0.3% in EMEA, while the Americas were down 4.5%. Revenue less our cost of revenue as a percentage of revenue remained consistent and strong at 71.9% in Q2 compared with 72.1% in Q2 of 2022, with a slight decrease driven primarily by variations in product mix. Total SG&A expense of $107.7 million was up $12.2 million this quarter with our expense rate increasing to 47.7% of our revenue, up from 40.9% last year. The higher year-on-year expense was primarily due to higher legal expenses tied to our previously disclosed and our ongoing litigation, largely expected to be concentrated in the first half of the year and also due to higher staff costs, which this year included $11.9 million of stock-based compensation related to the vesting of employee restricted stock units and earn-out shares compared to $1.4 million of equity-based comp in Q2 of 2022 prior to our return to the public markets. Excluding stock-based compensation, SG&A was 42.5% of revenue compared to 40.3% in the prior year. Further excluding the litigation expense, which totaled $7 million in the quarter or 310 basis points of revenue, SG&A would have declined in both dollars and as a percentage of revenue from the prior year. That is a result of proactive cost management measures executed towards the start of Q2. Earlier in the quarter, we proactively executed a plan to slow down our rate of spend to better position ourselves as we, similar to other global companies, navigate a more challenging macroeconomic backdrop. This plan included a hiring reduction and optimization of our marketing deployment with total marketing spend down $4.2 million and dropping as a percentage of revenue to 4.7% from 6.4% in Q2 of 2022. We anticipate maintaining these plans through to the end of the year. Adjusted EBITDA was $66.5 million, down 10.3% year-over-year. On a currency-neutral basis, adjusted EBITDA was down 8.9%. Our adjusted EBITDA margin was 29.5% compared to 31.7% in Q2 of 2022 with the lower rate driven by the impact of elevated legal costs within SG&A expense. Excluding the litigation costs, we would have delivered 80 basis points of margin expansion. CapEx was $13.9 million, down from $14.1 million in the prior year period. CapEx as a percentage of revenue was 6.2% versus 6.1% in the prior year. Adjusted EBITDA less CapEx was $52.5 million compared to $59.9 million in Q2 of last year. Adjusted EBITDA less CapEx margin was 23.3% in Q2, down from 25.7% in Q2 of 2022. Free cash flow was $27.9 million, up from $16.8 million in Q2 of 2022. The increase in free cash flow primarily reflects working capital changes related to the timing of receivables. Free cash flow is stated net of cash interest expense of $23.2 million in Q2, an increase of $2.9 million over the prior year. Cash taxes for the quarter came in at $11.8 million, a decrease from $14.7 million in Q2 of 2022. Our ending cash balance on June 30 was $121.3 million, up $4.5 million from Q1 of 2023 and a decrease of $92.5 million from our ending cash balance in Q2 of 2022. That year-over-year change in our cash balance reflects total debt paydown of $330.4 million on our USD term loan, inclusive of a $22.6 million repayment in the second quarter of this year. We ended the quarter with a net leverage of 4.4 times, unchanged from year-end 2022 and down from 4.8 times as of June 30, 2022, representing nearly 0.5 turn of leverage reduction in a one-year period. As of June 30, we had total debt outstanding of $1.418 billion, which included $300 million of 9.75% senior notes, $662.2 million USD term loan with an applicable interest rate of 9.84%, $456.1 million of euro term loan converted using exchange rates as of June 30, 2023, with an applicable interest rate of 8.625%. In addition, on August 11, we used $20 million of our balance sheet cash to repay a portion of our USD term loan. Year-to-date, we have applied $45.2 million or over 100% of our free cash flow towards debt paydown, demonstrating our ongoing commitment to further deleverage the balance sheet. Based on the foreign exchange rates and applicable interest rates on our debt balance as of June 30th and taking into account the $355 million of interest rate swap agreements and last week’s $20 million debt repayment, our 2023 cash interest expense is expected to be about $122 million. Now turning to our guidance for 2023. Based on our performance through the first half of this year, ongoing macroeconomic and agency sector pressures, expected impacts from the U.S. Hollywood strike and litigation costs, we are revising our guidance. We expect revenue of $920 million to $935 million, down 0.7% to up 0.9% year-on-year and on a currency-neutral basis, down 0.7% to up 1%. Assuming current FX rates hold, embedded in this guidance is an expectation that FX will have an overall neutral impact on full year revenue. This includes the $10.7 million negative impact from the first half of 2023, turning to an estimated tailwind of approximately $10.5 million in the second half of 2023. This includes approximately $3 million of benefit in the third quarter. We expect adjusted EBITDA of $292 million to $303 million, down 3.8% to 0.3% year-on-year on a reported basis and on a currency-neutral basis. Included in the adjusted EBITDA expectation is a relatively neutral impact from FX for the full year, including the $4.4 million impact in the first half, again, assuming a tailwind of approximately $4.5 million in the second half. This includes about $1 million benefit in the third quarter. Please note, built into this guidance are costs related to ongoing litigation and cost to operating as a public company. This includes the litigation cost, which for this year, we expect to largely be concentrated in the first half of 2023. I’ll turn it back over to Craig for some closing comments before we begin our Q&A.
Craig Peters: Thanks, Jen. For over 28 years, Getty Images has thrived in a competitive and ever-changing landscape. Today, we remain the industry leader in this space with content and services our customers trust, rely on and value. We continue to innovate across our content, services and technology to provide our customers with incremental value and at the same time, reward our creative community and partners. We are laser focused on execution and believe we have the strategies and team in place to navigate through the current uncertainty, capture exciting growth opportunities and drive long-term shareholder value. With that, operator, please open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Ron Josey with Citibank.
Unidentified Analyst: Hi. This is Jake on for Ron. Thanks for the questions. So first, really, given the agency sector pressures with -- you commented revenues down double digits, could you talk to us more about the mix shift to corporate? Because you’re clearly seeing traction in ramping subscriptions. Maybe you could remind us of the percent mix corporate and agency. And then just second, on the writers’ strike, could you talk to us what’s your -- like how customers in the media space are responding? And then, how you’re factoring in that slowdown into your guidance given clearly, there’s some uncertainty around how long it will last? Thanks so much.
Craig Peters: Sure. Thanks, Jake. I’ll start and then, Jen, feel free to chime in with anything. So, as Jen noted, the corporate segment has been one that has been delivering growth for us 10 consecutive quarters in a row. That growth, we haven’t disclosed, but is -- it obviously doesn’t fully offset for the more recent agency declines, which we think are largely driven by macro pressures. But historically, it has more than offset for kind of, I’d say, the segment declines that have persisted in agency over recent time periods. So, we would say that we’ve seen a more challenged corporate environment in the quarter. We’ve seen some deal time lines shift out. We’ve seen slightly reduced inbound, but it’s a very durable segment. It’s one that continues to grow. And it’s one that continues to be in subscription, which gives us a lot of forward visibility on it. So, in the short term, it’s kind of net decline relative to the creative shift into the corporate market and away from the agency market. Over the long haul, it has been a net positive to the business, and we expect that to continue to be a net positive going forward. With respect to the strikes in Hollywood, we are seeing that manifest itself as productions are basically put on hold. So, those could be movies. Those could be television shows. Those could be other theatrical productions. Those could be award shows. Those could be red carpet events and such. So, those have kind of had an impact over Q2. We expect that to persist and are largely planning for that to persist in terms of the guidance that we’ve given you through the full calendar year. So obviously, we’re hopeful that the parties are able to come together and resolve that on a more immediate basis. But right now, the guidance is reflective of a continuation of that strike to the year-end. Jen, anything that you would add?
Jen Leyden: No, I think that’s right. I think we took a conservative view to guidance, as Craig noted, and we are assuming that strike goes through year-end. I mean, we just saw in the past few days, big events like the Emmys have already been pushed out by several months. So, that’s the approach we’ve taken. I think, Jake, on your mix shift question, agency-corporate, you’ve probably heard us speak to agency being roughly 20% of our revenue in recent history. We’re seeing that dip below 20%. So, while we have exposure there, certainly, it is by far not the largest piece of our business.
Operator: Our next question comes from the line of Mark Zgutowicz with The Benchmark Company.
Mark Zgutowicz: Thank you. Craig, a high-level question, and then Jen, just a follow-up on the subscription business. In terms of -- Craig, you talked about execution as a priority, and I’m curious, it obviously starts with the bar that’s set. I’m curious if your current guidance reflects sort of a worst-case scenario at the low end, which I think helps fulfill that execution priority. And then, Jen, on the subscription business, I was just wondering if you could perhaps share what -- or quantify what the mix of subscription is within creative and editorial separately. And then, you’re obviously seeing some strong absolute subscription growth, but you’re not seeing it on the revenue side and your ARPS is down 40%. So subscription grows 100%, ARPS is down 40%, to us means that premium access isn’t quite scaling perhaps as fast as you’d like. So, if you could maybe touch on what sort of may turn that around as well.
Craig Peters: Thanks for the question, Mark. So, I’ll take the first and then can let Jen respond to the ARPS and subscription question. So, I would say that we’ve taken a conservative view to the second half with respect to guidance. We would certainly hope from an execution standpoint that we beat the bottom end of that. I think -- again, my view is there are opportunities out there. They take a little bit longer in this environment. They take us being a bit more proactive. We’re going to have to backfill for some of the macro elements and -- that we talked about in the strike. But there’s clear demand for our content. We’re seeing, again, increased commitment in that tells us that customers are satisfied with our solution. We’re seeing increased downloads. So our downloads in the quarter were up 1% year-over-year. So, we’re seeing signs that there are opportunities there. We just need to up our game and execute better over the second half in order to hopefully step over the bottom end of that guidance and beat. And then, Jen, do you want to just pick up on the subscription side of things and the ARPS and really the e-commerce elements to that?
Jen Leyden: Yes. Hi, Mark. How are you? So in terms of the mix of creative and editorial, both are north of 50% in annual subscription. On the subscription side and you’re probably looking more specifically at our active annual subscriber metric, so continued phenomenal growth in that metric. We’re up to that 182,000 annual subscribers, over 104% growth from the LTM period. You’re correct in pointing out what we’re seeing there, which actually will take and make this trade all day every day, we’re actually seeing some impressive new customers coming on to subscriptions. We’re seeing a lot of growth in some of those smaller e-commerce subscriptions. So that could be both new customers, that could be customers who were previously consuming à la carte or monthly on iStock that we’re getting into those smaller annual subscription products. Importantly, we’re also starting to really make some traction in some of our growth markets, specifically LATAM, APAC, EMEA. We’re driving actually new subscriptions in those markets. And you might remember, we’ve talked about geographic expansion being one of our key growth levers. So, we’re excited to see that we’re tapping into those markets, and we’re doing it with annual subscription. So, we’re really happy with this metric and the growth that we’re seeing. You mentioned PA. PA continues to be well over a third of our revenue. We’re not seeing any deterioration there. We continue to see growth in PA, which is our largest subscription, largely in our enterprise customers, larger customers. We still have growth there as well, and we have opportunity to continue to expand premium access as well.
Craig Peters: Yes. And I would just add, Mark, that as you look at our average revenue per subscriber, historically, our larger customers have been kind of more converted into subscription. And so, therefore, the opportunity to continue to add subscribers has been kind of in the smaller spending customer side of things. So small businesses, medium-sized businesses, emphasis on iStock and now increasingly through Unsplash. So, that’s why we’re seeing -- those are lower spend products, lower download products. And so that’s where we’re getting the positive shift in terms of commitment. But it does bring the average revenue per subscriber down, but that’s not due to loss of subscribers on the premium access or on the larger side. It’s more about the opportunity to get more commitment, higher spend per customer in aggregate through those subscriptions, as Jen highlighted.
Operator: Our next question comes from the line of Cory Carpenter with JPMorgan.
Cory Carpenter: I had one for you, Craig, and one for Jen. Maybe Craig, just could you expand on the NVIDIA partnership that’s in limited testing? Anything around the different ways you’re thinking about commercializing the product and in different ways to monetize? And then, Jen, for you, just on the Hollywood strike impact again, any way to frame how big the entertainment vertical is for you? And is that impact felt mostly in editorial, or is it also in creative? Thank you.
Craig Peters: Yes. Cory, I’m happy to pick up the first and hand to Jen on the second. So, with respect to NVIDIA, I’ve kind of mentioned, we’re taking a very long-term view to AI. And this is a product that we are -- have been working on with NVIDIA for quite some time now. It is one that when we bring it to market, it’s going to be commercially viable. So what do I mean by commercially viable? It’s built to respect third-party intellectual property. It’s built to respect third-party brands, names and likeness. So you won’t run into any issues in terms of using the resulting outputs on a commercial basis. It’s creator-responsible. In essence, we will be making sure there’s payment back to the creators that gave us the content that it’s trained on. It will be indemnified for our customers, which means our customers can use it knowing that Getty Images is actually bearing the risk of the content that’s produced, and it will be incredibly high quality. And getting to that solution takes a lot of time, work, takes a lot of partnership with NVIDIA. In terms of the commercialization of that, I think I’ve mentioned at the outset, while I can’t go into the specific terms of our agreement with NVIDIA, it’s a partnership. And we will share in the resulting revenues that we generate. Getty Images will be the predominant go-to-market path through our sales force and through our websites, and we will share in that revenue. And that’s -- it’s not a data licensing deal. It’s a long-term business and product offering that we bring to our customers that is additive to the product suite that we have and will generate revenue. Now, it’s not going to generate a ton of revenue out of the gate, but it’s one that we think over the long haul, is incredibly well positioned to compete in the space and over the long haul will generate material revenues back into this business. And we think that’s the right structure for the relationship and the right structure for the business overall over the long term as generative AI continues to be something that we think has significant opportunities over the long term. And then, Jen, if you want to pick up on the entertainment side of things and the impacts there.
Jen Leyden: Yes. So for entertainment, as you know, Cory, editorial is about a third of our revenue. And then within the editorial space, we’ve obviously got news, sport, entertainment and archives. And because of the mix of our revenue that sits in subscription, we can see downloads sort of way between sports news and entertainment for customers on subscription. So hard to quantify a specific piece of the revenue at any given point that we can attribute to entertainment, but suffice it to say that entertainment typically is in equal parts, sports, entertainment and news when we think about that one-third of revenue. But again, you have to temper that with over 50% of our revenue sitting into locked-in subscriptions, right, which means if entertainment downloads shift down, you might see that same amount of revenue just shifting into different content. That said, as we talked about, we have conservatively assumed that that strike goes all the way through to the end of the year, that impacts not just that entertainment piece of our business, but also our media clients, right? So as we see film production, broadcast start to slow down, that has an impact on media clients which doesn’t necessarily fit in totality in that entertainment space.
Craig Peters: Yes. And I would just add, Cory, that as you -- if you look at the numbers, it impacts both editorial and creative. So, an example would be the evening talk shows, so the late-night talk shows, they will consume a lot of the creative content as they’re telling jokes and setting things up. And so, that’s an example where you can see how creative content will actually flow through what is largely a media segment impact, media and production segment impact, but it does impact creative content in addition to editorial content. I would say that to date and on a go-forward basis, we expect it to be more concentrated within editorial than creative, but it does impact both parts of the business.
Operator: Our next question comes from the line of Tim Nollen with Macquarie.
Tim Nollen: I wonder if you could just give us a little bit more color on the delay in the 10-Q filing, if that’s possible to do. I know you said it’s at this point not looking material, but if you could just give us any indication as to what it is related to. And in addition, you mentioned that most of the litigation costs are first half already. So, any updates that you could give us at least on the timing of that situation. Thanks.
Craig Peters: Jen, I’ll refer to you on those.
Jen Leyden: Yes. Hi, Tim. So, on the delay of the filing, as you just heard us talk about in prepared remarks, also disclosed in our earnings release, the delay of the Q is due to our independent auditors requiring some additional time to do additional audit processes. That is all in response to a comment arising from a PCAOB inspection which was of the audit work papers of our 2022 financial statements. So importantly, as of today, we’re not aware of, nor have our independent auditors advised us of any material misstatement for the 2022 financial statement. So, what I can add to that is that our teams are working closely with our independent auditors to provide any and all assistance and information that’s going to help them complete their work as judiciously as possible. And then on the litigation, that was your second question. So yes, litigation costs, largely concentrated to the first half, specifically in the second quarter. That comment that we’re making with respect to those costs being largely concentrated in the first half is not an indication of where we are in that litigation process, but has more to do with the fact that we’ve got D&O insurance that will start to kick in and absorb any balance of ongoing litigation costs there. So, that’s not a commentary on where we sit with that litigation. It’s more about insurance kicking in and starting to cover those costs.
Craig Peters: And I would just say that it’s highly concentrated to the warrant litigation. And that did move faster than we thought. Actually, we think it’s a good thing that we’ll be able to hopefully put this to bed soon. But it’s one where the case has been moving faster than we would have predicted, and that’s a tough thing to actually predict is the pacing of cases through the docket. So, much more related to the warrant side of things.
Operator: And our next question comes from the line of Brett Feldman with Goldman Sachs.
Brett Feldman: Thanks. Two, if you don’t mind. Craig, I would hope you -- or just would appreciate if you could elaborate a little more on the execution opportunities that you see. So, if we were to get questions from clients around examples, I guess what I’m thinking is, to what extent does this relate to just maybe better blocking and tackling around opportunities and processes and initiatives that are already in flight versus maybe a little more focused on getting something off the drawing board and into the market so you can benefit from them. And then the second question is we obviously have heard from the agencies throughout this earnings cycle about the slowdown in tech spending. Is that specifically what’s flowing through to your agency business you’re just feeling that downstream, or is there any other exposure or unique pressures you might be feeling that we’re not thinking enough about?
Craig Peters: Great. Thanks, Brett. On the execution, I mean first, I would say there are things that we’re executing quite well again. So I think Jen mentioned our subscriptions, we’re seeing, again, an increased consumption, the launch of Natural Language processing, the progress we’re making on AI, the rest of world execution in terms of penetration there, custom content, cost management as well as our marketing efficiency and continuing to drive new customers, continue to drive more customers in the subscriptions and doing that at lower spend levels. So, there’s a lot of things that the business is doing well. I think my view is it’s really concentrated to the sales front where we need to step up our outbound activities. We need to move agreements along to close on a more expeditious manner, and we need to tighten up around that. And so, that’s one of the things that we’re really focused in on. It’s not dependent upon new products or new services. We’re largely not expecting the AI generative offering to contribute over the second half of the year. Again, we think that’s a more long-term revenue item. It’s about hand-to-hand combat on the sales side of things. And in a more difficult environment, you need to work 20% harder to get to the same outcome. And that’s what we’re doing and we’re starting to see some of those outcomes. I think we talked about some segments where we’ve got challenge. And in some cases, you have to go through and evaluate what you’re getting from those customers relative to maybe some discount agreements that you’ve had in place and be very candid in the conversations with customers that maybe those discounts aren’t warranted at the current spend levels and how do you adjust that and work towards getting back to something that is more reflective of performance. So, we need to basically continue to execute on the sales front. And I think it’s one where we don’t control the external environment. We can’t really solve for a writers’ strike or an actors’ strike, but we can go in and up our game. On the agency front, I don’t think it’s just in technology spend. So, I think what we’ve seen with a lot of the agencies is that they’ve been doing okay top line revenue, but they’re seeing a lot more growth from the media side of the business, although they’ve been seeing pullback on the tech media side of things. But they’re seeing growth in PR and data and consulting and events and ad tech. And they’re not really seeing growth in the creative side of their businesses, which is where our product really plays in. And that’s why I think we’re seeing volume really come off in that segment relative to what they’re experiencing in the marketplace. So hopefully, that gives you the color on the agency side of things.
Operator: And this does conclude the -- ladies and gentlemen, we have reached the end of the question-and-answer session. And this also concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation.
Craig Peters: Thanks, everybody.